Operator: Good morning, and welcome to Otter Tail Corporation's Second Quarter 2023 Earnings Conference Call. Today's call is being recorded. We will hold a question-and-answer session after the prepared remarks. I will now turn the call over to the company for their opening comments.
Beth Osman: Good morning, everyone, and welcome to our second quarter 2023 earnings conference call. My name is Beth Osman, and I'm Otter Tail Corporation's Manager of Investor Relations. Last night, we announced our second quarter financial results. Our complete earnings release and slides accompanying this call are available on our website at ottertail.com. A recording of this call will be available on our website later today. With me on the call today are Chuck MacFarlane, Otter Tail Corporation's President and CEO; and Kevin Moug, Otter Tail Corporation's Senior Vice President and Chief Financial Officer. Before we begin, I want to remind you that we will be making forward-looking statements during the course of this call. As noted on Slide 2, these statements represent our current views and expectations of future events. They are subject to risks and uncertainties, which may cause actual results to differ from those presented here. So please be advised about placing undue reliance on any of these statements. Our forward-looking statements are described in more detail in our filings with the Securities and Exchange Commission, which we encourage you to review. Otter Tail Corporation disclaims any duty to update or revise our forward-looking statements due to new information, future events, developments or otherwise. I will now turn the call over to Otter Tail Corporation's President and CEO, Mr. Chuck MacFarlane.
Chuck MacFarlane: Thank you, Beth. Good morning, and welcome to our second quarter 2023 earnings call. Please refer to Slide 4 as I begin my comments on second quarter results. We are pleased with our second quarter financial results. We generated earnings per share of $1.95. As expected, our earnings declined compared to second quarter of last year as earnings from our Plastics segment receded from historic highs. Our Electric segment produced earnings growth of 4% compared to second quarter of 2022, primarily driven by the recovery of rate base investments. Manufacturing segment earnings decreased 21% due to lower sales volume of horticulture products and year-over-year lower manufacturing cost absorption. Our Plastics segment earnings declined 13%, given the general end market softness from reduced new home construction and a reduction in sales volumes as distributors continue to manage PVC pipe inventory levels. We are increasing our 2023 diluted earnings per share guidance to a range of $5.70 to $6.00 from our previous range of $4.55 to $4.85. This increase in our guidance is primarily due to stronger-than-expected Plastics segment performance in the second quarter, as well as our expectations for the remainder of 2023. In a moment, Kevin will provide a more detailed discussion of our second quarter financial results and our expectations for the remainder of the year. Slide 5 shows our expected five-year compounded annual growth rate in earnings per share with and without the impact of our Plastics segment through the end of 2023 based on the midpoint of our updated earnings guidance. We expect to produce a compounded annual growth rate in earnings per share from 2018 through 2023 of 10% exclusive of our Plastics segment. The additional earnings and cash flow being generated by our Plastics segment over this time period provides additional strength to our already strong credit metrics, liquidity and capital structure and allows for capital investment in our operating companies. Turning to Slide 7, we illustrate Otter Tail Power's efforts in working toward a cleaner energy future. We are targeting reduced carbon emissions from our owned generation resources approximately 50% from 2005 levels by 2025 and 97% by 2050, assuming historic MISO dispatch occurs. Additionally, our owned and contracted energy generation is forecasted to be more than 50% renewable by 2025. Turning to Slide 11, in March, Otter Tail Power filed its supplemental integrated resource plan with each of our three state utility commissions. Our preferred five-year plan requests authority to add on-site liquefied natural gas storage at Astoria Station in 2026 at 200 megawatts of solar generation in the 2027 to 2028 timeframe and commenced activities to prepare for the addition of 200 megawatts of wind generation in the 2029 timeframe. Our preferred plan also requests authority to withdraw from our 35% ownership interest in Coyote Station should major non-routine capital investment be required at the facility. Our levelized cost of energy in our supplemental plan is lower than our original plan submitted in 2021, reflecting our focus on customer affordability. In May, the Public Utilities Commission decided to reintegrate the Astoria Station on-site fuel decision timeline with the remainder of the IRP. We anticipate a hearing on the IRP sometime in early 2024. Slide 12 provides an overview and status update on our significant capital investment projects. Our team continues to effectively execute our project plans, working to ensure projects are completed on time and on budget. I will now provide a few details on several projects. Slide 13 provides an overview of Otter Tail Power's 49-megawatt Hoot Lake Solar project. Construction began in May of 2022 and is expected to be completed in the third quarter of 2023. The project has received renewable rider approval in Minnesota and all costs and benefits of the project are assigned to Minnesota customers. Passage of the Inflation Reduction Act has increased the investment tax credit on this project from 26% to 40%. We expect the facility to be placed in service on time and on budget in Q3. Slide 14 summarizes Otter Tail Power's investments under Tranche 1 of MISO's Long Range Transmission Plan. Otter Tail Power will be -- will co-own two Tranche 1 projects, the Jamestown, Ellendale; and Big Stone South-Alexandria-Big Oaks 345 kV transmission projects. Our team is focused on project development and planning and coordinating these complex projects with our co-owners. Both projects have FERC approval for construction work and progress recovery, ensuring the timely recovery of our capital investment. In total, we estimate Otter Tail's capital investment in these projects to be approximately $410 million. 30% of the capital investment is expected to occur in the next five years. These investments have a minimal impact on Otter Tail retail customers as the costs are allocated across the MISO Midwest footprint. Our team continues to monitor developments at MISO regarding Tranche 2 transmission projects. MISO is currently indicating Tranche 2 projects will be approved in 2024. While we expect some investment opportunity for Otter Tail arising from Tranche 2 projects, our five-year capital plan does not include any estimates of future investments for these potential projects. Turning to Slide 15. We intend to repower our four legacy wind farms in 2024 and 2025 with an investment of approximately $230 million. Each project qualifies for renewed production tax credits with the passage of the Inflation Reduction Act, and it is anticipated to lower customer bills, demonstrating Otter Tail Power's continued focus and commitment to customer affordability. Slide 16 provides an overview of Otter Tail Power's capital spending plan. The plan includes $1.1 billion of capital investment over the next five-year period and produces a 6.5% annual compounded growth rate in rate base over this timeframe. It is important to highlight that most of the capital investment from our solar and wind investments outlined in our IRP occur after 2027 and, therefore, are not reflected in the five-year horizon. We anticipate approximately 80% of our capital investments will be recovered through existing rates or riders. Slide 17 provides an overview of key regulatory matters on our agenda for 2023. Our utility team is off to a good start and on track to accomplish our 2023 regulatory filings. Additionally, as we complete our internal cost of service studies this year, we will determine whether a North Dakota general rate case will be filed in late 2023. Turning to our Manufacturing segment on Slide 21, end market demand in agriculture, construction and power generation markets is driving volume growth and profitability at BTD. The volume growth does present a challenge for the business as we try to align our workforce with the demand we are experiencing. We are trying to increase our headcount through hiring within a tight labor market. BTD experienced lower levels of productivity this quarter as new employees work to achieve increased efficiency. Similar to last quarter, steel prices remained lower in the second quarter of 2023 as compared to the same time last year. BTD continues to manage inflationary cost pressures in the business, partially through increased product pricing. At our BTD Georgia location, we are currently forecasting to be capacity constrained in the near term and are in the final stages of project development for an approximate $21 million expansion. Sales volumes in horticulture end markets softened in Q2, resulting in lower operating revenues for T.O. Plastics this quarter as compared to the same time last year. Slide 24 provides an overview of our Plastics segment. Volumes declined in the second quarter due to general end market softness and distributors and contractors continuing to manage inventory levels. The Vinyltech expansion and plant upgrade is underway, and we anticipate the expansion to increase capacity by approximately 8% for the segment. We currently expect to bring new capacity online in the second half of 2024 at a total cost of $50 million. Slide 25 highlights our recent resin and PVC pipe pricing. We continue to benefit from widened resin spreads similar to the first quarter of this year. PVC pipe prices remain higher than estimates for the second quarter of 2023. Our updated pricing expectations for the remainder of the year, the primary driver for the increased 2023 earnings guidance that Kevin will expand on. I'll now turn it over to Kevin to provide additional commentary on our second quarter results and our updated outlook for 2023.
Kevin Moug: Thank you, Chuck. Good morning, everyone. The second quarter continues to show strong financial results being delivered by our collective group of companies. The $1.95 of diluted earnings per share represents the third best quarter we have ever reported, surpassed only by the second and third quarters of 2022. Our financial results for the trailing 12 months ended June 30, 2023, results in a 22.2% return on equity on an equity layer of approximately 60%. Please refer to Slide 29, as I provide an overview of our second quarter segment earnings. The Electric segment earnings increased approximately 4% over the second quarter of 2022, driven by increases in MISO transmission services revenue, rider recovery revenues related to the construction of Hoot Lake Solar and the beginning of recovery in our Ashtabula III investment as well as higher commercial and industrial sales. Also contributing to the higher earnings are lower pension and other post-retirement plan costs based on an increased discount rate and expected returns on planned assets for 2023. These items were partially offset by the impact of the final interim rate determination during the second quarter of 2022 related to the Minnesota rate case. This resulted in increased revenues of approximately $4 million in the second quarter of 2022. O&M increase -- O&M costs increased due to higher labor costs and increased maintenance expenses at our wind farm facilities, specifically as it relates to incremental costs associated with Ashtabula III, which was purchased in January of this year and higher interest rates on our short-term variable rate debt related to short-term borrowings on the Otter Tail Power Company credit facility. Manufacturing segment earnings decreased $1.6 million or 21% compared to the second quarter of 2022. Key elements driving this quarterly decline are as follows: BTD manufacturing sales volumes and sales prices were higher in the second quarter of 2023, driven by strong demand in our construction, agriculture and power generation end markets. This increase was partially offset by the impact of decreased steel prices, which are passed through to customers, lowering revenues but not having an impact on earnings. Also contributing to the quarterly decline in earnings was lower scrap revenues, primarily due to lower scrap metal prices as well as increased labor costs and lower productivity, which contributed to lower cost absorption. Lower productivity resulted from increased shift incentives and overtime wages, combined with increased staffing levels to meet higher production volumes and increased time needed for employees to achieve improved productivity. We continue to focus on training, career development opportunities and various incentives to retain our existing employees as well as improving the overall efficiency and productiveness of our new team members. T.O. Plastics sales volumes within the horticultural end market were lower in the second quarter of 2023. Net earnings from the Plastics segment decreased $8.6 million or 13% compared to the second quarter of 2022. Sales volumes declined 26% compared to the same period last year due to general end market softness and distributors and contractors continuing to manage inventory levels against a backdrop of higher interest rates and lower housing market activity. Sales prices declined 1% as compared to the second quarter of 2022. Resin costs have receded from record highs experienced in 2022. In total, our material costs decreased nearly 40% in the second quarter of 2023. Our sales price to resin spread remains stronger than previously expected. Our corporate costs improved $5.4 million between the quarters. We benefited from market-based non-taxable gains on our corporate-owned life insurance and the favorable impact of death benefit proceeds from our corporate-owned life insurance during the second quarter of 2023 compared with market-based losses in the second quarter last year. Additionally, we earned investment income on short-term cash equivalents in the second quarter of 2023 and experienced lower health care claims this quarter compared to the same period last year. Moving on to our earnings guidance. Slide 32 includes our updated business outlook for 2023. We are increasing our earnings per share guidance to be in the range of $5.70 to $6.00, a 24% increase from the midpoint of our previous guidance range of $4.55 to $4.85. We are maintaining the previous guidance for our Electric and Manufacturing segments. We are increasing our earnings guidance for our Plastics segment. This is due to continued strength in sales prices and related operating margins of PVC pipe. Sales prices have begun to recede from historic highs, but the rate of decline has been slower than we anticipated. We expect sales prices to decline modestly over the remainder of 2023, causing a decline in operating margins. Partially offsetting increased sales price and operating margin expectations in the second half of the year as compared to our previous guidance is lower sales volumes. This is due to general end market softness and distributors and contractors continuing to manage their inventory levels. These assumptions reflect our current expectations for the remainder of 2023. We currently anticipate a decline in profitability in the last half of 2023 compared to the first half of the year's actual results. And finally, we are improving our guidance for corporate costs. This relates to our second quarter results and an increase in expected earnings on our short-term cash investments due to a higher level of invested funds and an increased yield on those investments. These items are partially offset with increase in corporate operating and maintenance expenses. We now expect our earnings mix for 2023 to be approximately 35% from our Electric segment and 65% from our Manufacturing and Plastics segments net of our corporate costs. We continue to monitor various economic indicators, such as single and multifamily housing starts, interest rates and consumer confidence levels to ensure we are well positioned when change occurs. Additionally, we continue to manage the impact of inflation across all of our operating companies. Our exposure to rising borrowing costs continues to be low risk. We don't expect to have any outstanding borrowings on our parent company facility and minimum amounts are being drawn on the utility facility. The increased cost of these borrowings are fully considered in our updated 2023 guidance. Due to the higher levels of earnings and cash flows over the last two years, we are in an enviable position of being able to earn a return on our excess cash. We continue to evaluate the need for any additional debt financing as it relates to the Otter Tail Power Company's capital spend. The amounts outstanding on the Otter Tail Power Company credit facility primarily relate to our capital projects. Our next bond maturity is December of 2026. While we recognize the additional risk of having non-electric businesses in our portfolio, these businesses have the ability to generate high levels of earnings and cash flows during strong economic times. This has certainly been demonstrated over the last two-and-a-half years. The uplift in earnings, especially driven by the Plastics segment performance has further strengthened our equity layer. As of June 30, 2023, we have a consolidated equity layer of approximately 60%, with that expected to strengthen over the remainder of the year. And this offers us a distinct advantage as compared to the utility sector as we have no equity needs in our next five-year financing plan. Our updated 2023 guidance reflects elevated earnings from our Plastics segment as a relationship of sales prices to resin spreads continues to be stronger and lasting longer than previous expectations. We currently expect a normalizing of Plastics segment earnings during the last half of 2024. Slide 38 reflects the collective strategies of our platforms and financial performance targets. The business model continues to serve us well, and we remain well positioned to fund our rate base growth opportunities at the utility with our strong balance sheet, ample liquidity to support our businesses and strong investment-grade corporate credit ratings. We're now ready to take your questions.
Operator: [Operator Instructions] Our first question comes from the line of Chris Ellinghaus from Siebert Williams Shank & Company, L.L.C. Your line is now open.
Chris Ellinghaus: Hey, everybody. How are you today?
Chuck MacFarlane: Good morning, Chris.
Chris Ellinghaus: Lots of questions on the Plastics business. But first, Chuck, do you have a sense of when the MISO Tranche 2 projects will be announced?
Chuck MacFarlane: I think originally, they were planned to be in the first half of 2024. We're anticipating that could slip, but anywhere in late first half to the end of 2024.
Chris Ellinghaus: Okay. In your Plastics business, are you seeing any regional disparity in margins and profitability?
Kevin Moug: Yes, Chris, it's Kevin. We've seen some differences between our, if you will, the Northern Pipe region and the Phoenix region where Vinyltech is. We've seen some more price competition from other pipe converters in that Northern Pipe region than what we're experiencing in the Phoenix area.
Chris Ellinghaus: Okay. You touched on sort of your thoughts on 2024. But has sort of the stickiness of margins altered your 2024 view at all?
Kevin Moug: Well, to the extent that we're now saying we expect normalizing in the last half of '24, the answer is yes. And as we look at the uplift in the guidance that we just did with Plastics, we don't see today where sales prices are going to have some type of precipitous drop-off starting in the early part of '24 that would cause a compression of margins back to what we would think normal would be, while we're seeing softening in sales prices. And then, spreads as we go through the last half of the year, there're just isn't anything to indicate that going to be some significant event to cause that to be all of a sudden back to kind of what we think that normal level is at the beginning of the year. And we'll continue to update that. We have our budgeting and strategic planning process now, that will be going on in the third quarter. We'll be continuing to look to update our 2024 and beyond financial plans in Plastics and continue to provide more clarity to everyone as we go through the rest of the year and would have our 2024 guidance in February.
Chris Ellinghaus: The stickiness of the margin seems unusual. Do you think that customers have merely gotten used to the higher pricing? And with the sort of unexpected strength in construction, is there a reason why maybe prices don't abate back to normal?
Kevin Moug: Yes, Chris, I think there is some of that that's occurred that -- this reset that occurred -- if you go back to that February of '21 timeframe when we had those market events occur and then the drive up in sales prices and margins, I think there has been a recognition of a reset. There's been understanding that these prices have continued to stay up and stay stronger. And then you look back to just the cost of the PVC pipe in these -- whether they're municipal water projects, rural water projects, storm water systems, what have you, the cost of the pipe still isn't a significant component of the overall projects. And as a result, and of course, they need the pipe to do the projects, there's a recognition that there's been, due to inflation and what other circumstances are out there a recognition that sales prices have stayed up longer than expected. We are -- as I mentioned earlier, we are seeing some softening. So, we don't expect that these levels we're at are going to continue longer term, but I certainly think it's fair to look at. Will they stay higher than what we would say normal would be as we look back over time? And I think that given the demand for construction and those types of things, there's reason to expect they could stay stronger than what we would say normal could be.
Chris Ellinghaus: Okay. Lastly, I don't know if I missed this from you, Chuck, but on the wind repowering, what level of ITCs are you expecting on the standard level? Or do you see some of the IRA bonuses in those projects?
Chuck MacFarlane: Sure, Chris. So, we have four wind farms that we will be repowering over the timeframe. And we did the analysis assuming the standard of PTC. We do believe that there's an opportunity in one of those facilities that will be in an area that had a closed coal facility or mines, so it would be subject to the 10% addition there. So, one of the four there. And we continue to monitor and work towards getting the domestic content, but we can't confirm that we're going to get that at this point.
Chris Ellinghaus: Okay. Thanks for the color. I appreciate it guys.
Operator: All right. Thank you so much, Chris. One moment to bring our next caller on stage. All right. Our next question next comes from the line of Sophie Karp with KeyBanc. Your line is now open.
Sophie Karp: Thank you, and good morning, guys, and thank you for taking my question. So, congrats on a good quarter, I guess, again. The performance of Plastics has been nothing short of spectacular, right, in the last few years. And I'm just kind of curious if you could talk a little bit about your capital allocation strategy as a result of this windfall in cash flows and earnings that is coming off of the Plastics segment, which I expect to last a little bit longer maybe than [ordinarily] (ph) would expect in a typical economic cycle. So, do you earn a return on this cash balance now? Are there incremental investment opportunities on either manufacturing plastic or regulated side where you could deploy that cash into instead? And the second part of this question would be, I guess, is it possible for you to now stay out of some rate cases longer, because the overall combined earnings are being well supported by our Plastics segment? So, if that's a part of strategy potentially? So any color on that would be appreciated.
Kevin Moug: Well, we'll start, Sophie. In terms of the cash, we certainly, as you mentioned, getting the benefit of being able to invest that now. But it does -- as I mentioned, it does prevent us from having any kind of external equity needs over the next five years. And so from the -- it will help us continue to fund the utility rate base growth. It helps fund the Vinyltech expansion that we're doing in Phoenix. And then as we look to continue with the BTD expansion in Dawsonville, Georgia, it helps us pay for all that without having to go externally to the extent that the utility can continue to identify additional rate base projects, certainly, subject to the outcome of the Integrated Resource Plan. It just provides us additional flexibility to help fund some of those projects as well. As it relates to your question about does it keep us out of rate cases, it does not. The earnings of the Manufacturing and Plastics business do not get taken into account as the utility does its cost of service studies and looks at the need to file or not file rate cases. So, it doesn't help us there.
Sophie Karp: All right. So to basically confirm you would not be willing to go in a position where you tolerate lower earned ROE for a while in the utility because you earn in higher returns in Plastics?
Kevin Moug: No.
Sophie Karp: Got it. All right. Thank you. And then how much visibility do you guys have into the, I guess, inventory levels of PVC pipe and the reasons why price remains as sticky as it is? I mean, is this current -- is this dynamic that you're seeing now, is that surprising to you? Or would you say something that could have been anticipated?
Kevin Moug: Well, I think it's gone on longer than what we originally expected. Sophie, we saw it show up in the kind of the middle of the third quarter of 2022 when there was some significant reduction in resin prices. Then, we did see particularly our large customers start to say, "We have plenty of inventory on hand, and we're going to continue to work through that before we buy additional inventory." And this has taken longer than expected. And we have -- so do we have -- what kind of visibility do we have? I think through our relationships with our top couple of customers, we have pretty good visibility given the conversations and meetings that we -- our sales folks have with those top two customers. One of those customers has -- is more just in time with their inventory management. So that continues to -- they take their orders only when they need them. The other one we know continues to manage their higher levels of inventories. It's taking them longer. For what reasons? I guess I'm not -- I don't know if we totally have that visibility. But that's what's happening there. And then of course, we've just seen as we've headed into the second quarter and into probably the rest of this year, there's just been more of a general end market softness as well that's bringing volumes down.
Sophie Karp: Thank you very much for this color. Appreciate it. This is all for me.
Operator: All right. Thank you so much. One moment for our next question. Okay. Our next question comes from the line of Brian Russo with Sidoti. Your line is now open.
Brian Russo: Hi, good morning.
Chuck MacFarlane: Good morning.
Kevin Moug: Hi, Brian.
Brian Russo: Just a follow-up on the Plastics and the earnings or sales volume margin trajectory. Just based on your first half results and what your midpoint of your guidance, it looks like $1.38 in the second half of 2023. Would that be a reasonable run rate for the first half of 2024? Or given the dynamics you just discussed, should we see margins compressing even further when we look into 2024 versus what's expected in the second half of this year?
Kevin Moug: Hey, Brian, this is Kevin. I don't think we're ready to say that the last half of '23 would be a reasonable run rate yet for 2024. I think the general view is that we still are going to see additional compression of operating margins as we head into 2024, but not a return to more normal-like conditions until the latter half of 2024. I mean, you can see from our guidance, I mean, you kind of just hit it, but we've -- not earnings per share, but absolute dollars, we've earned $89 million in the first six months of the year. The midpoint of our Plastics guidance puts us at $147 million. And so that's kind of $58 million for the last six months of the year is what we have included in the guidance now.
Brian Russo: Yes. Understood. And is that $36 million to $41 million annual normalized earnings run rate, is that still reasonable? Or with the increased capacity that's planned at Vinyltech for 8% increase, I guess, in capacity that, that $36 million to $41 million could actually be higher?
Kevin Moug: Our view today is that we still believe that range at $36 million to $41 million is still longer term, reasonable range from a normalized level of earnings. But we have to continue to look at it and understand what's going on in terms of market conditions and to the extent, how are they changing and what are they going to look like? But certainly, we still would expect that, that would be a normal level over time.
Brian Russo: Okay. Got it. And then on Manufacturing, it seems like a pretty big drop off in the second half of 2023, earnings versus what was reported in the first half. Is it all related to the labor inefficiencies and kind of the drivers that were a little bit more exaggerated in this second quarter?
Kevin Moug: Simple answer is yes, Brian. Maybe a little more color for you. In the first quarter compared to the second quarter at BTD, we saw higher product prices and favorable mix in the first quarter compared to the second quarter. And then the labor and non-labor productivity and lower cost absorption in the second quarter of '23 is also a driver. And then also included in that is that we saw in the first quarter at T.O. Plastics much stronger sales volume and pricing increases in the first quarter. And then we saw a slippage of volume at T.O. Plastics in the second quarter, which is -- those are the top drivers of that. We're down 20% quarter-over-quarter, but up 10% year-to-date.
Brian Russo: Right. And the initiatives that you laid out during the call, I mean, can some of these pressures that you're facing that surfaced in the second quarter and expected through the end of the year. Can you alleviate that, I guess, by year-end through more training or employee retention, or just the expansion you're planning at the Georgia facility?
Chuck MacFarlane: Yes, Brian, this is Chuck. I think 1 thing to pick up on in all of our manufacturing and other businesses is when we're in a position where we're trying to hire for turnover or maintain an employee level, it's -- while difficult, it's manageable, while you're trying to increase employee levels, which is what BTDs had to do up to this point. That's an order of magnitude more difficult. And I believe we're near the employee level we wanted to be, got to that in the end of the second quarter. So while there still will be hiring, I don't think we will be working to dramatically increase employee levels. And I think that will also help the efficiency of the workforce there.
Brian Russo: Okay. And then just at the utility, what has the development been like on this Tranche 1 projects? Any permitting or certificate of needs that you're pursuing before construction can actually start as it might be indicated in your five-year CapEx?
Chuck MacFarlane: Sure, Brian. This is Chuck. We're in the process of -- the certificate of need has not been filed yet in the project that's primarily in Minnesota. That's this Big Stone South to Alexandria to Big Oaks project. But we have had land owner outreach. We probably are seeing slightly higher attendance at those meetings than we would have in the prior CapEx 2020 or other projects. But we're still on the path trying to meet with all of landowners, layout potential routes. So that's fairly early in the process. In Minnesota, we go through a certificate of need process first, then subsequent once you have established the need, then you go through a routing process. In Dakotas, it's more of a -- the two processes are much closer together. So, we anticipate that the North Dakota project, the Jamestown to Ellendale, will have a shorter permitting lead time just from the point that you kind of go through this once instead of the need followed by the routeway, it's done in Minnesota.
Brian Russo: Okay. And one more question on the IRP. Is the primary driver of why this revised updated IRP is at a lower levelized cost than the one you filed two years ago? Is it all the tax incentives from IRA? Or is it just -- is it also just a shift in the investment mix?
Chuck MacFarlane: Yes, Brian, it's largely additional tax credits because we have not anticipated a 2029 wind project having qualifying for investment tax credit or production tax cut -- excuse me, when that was filed in 2021. I believe there's also a slightly reduced amount of total investment.
Brian Russo: Okay, great. Thank you very much.
Chuck MacFarlane: Thank you.
Operator: All right. Thank you so much, Brian. All right, I am showing no further questions at this time. I would now like to turn the conference back to Chuck for closing remarks.
Chuck MacFarlane: Thank you for joining our call and your interest in Otter Tail Corporation. Based on our second quarter results and expected higher sales prices and margins from our Plastics segment, we are raising our 2023 earnings per share guidance to the range of $5.70 to $6.00, an increase of approximately 24% from our previous guidance range of $4.55 to $4.85. Over the long term, I believe we are well positioned with our utility growth strategy and predictable earnings stream, complemented by our strategic Manufacturing and Plastics businesses to achieve our financial targets. We expect to produce long-term compounded growth in earnings per share of the 5% to 7% and to increase our dividend in the range of 5% to 7% annually. Thank you again for joining our call. We look forward to speaking with you next quarter.
Operator: All right. Thank you so much. This concludes today's conference call. Thank you for participating. You may now disconnect.